Operator: Good morning, everyone, and welcome to the Portland General Electric Company’s Second Quarter 2011 Earnings Results Conference Call. Today is Friday, August 5th, 2011. This call is being recorded, and as such all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) For opening remarks, I would like to turn the conference call over to Portland General Electric’s Director of Investor Relations, Mr. Bill Valach. Please go ahead, sir.
Bill Valach: Thank you, Nancy and good morning, everyone. We’re very pleased that you’re able to join us today. Before we begin our discussion this morning, I’d like to make our customary statements regarding Portland General Electric’s written and oral disclosures and commentary. And there will be statements on this call that are not based on historical facts and as such constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from the forward-looking statements made today. For a description of some of the factors that may occur that could cause such differences, the company requests that you read our most recent Form 10-K and Form 10-Qs. The Form 10-Q for the second quarter of 2011 was available this morning at our website portlandgeneral.com. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise and this Safe Harbor statement should be incorporated as part of any transcript of this call. Portland General Electric’s second quarter earnings were released before the market opened today, and the release is available at portlandgeneral.com. Leading our discussion today are Jim Piro, President and CEO, and Maria Pope, Senior Vice President of Finance, CFO and Treasurer. Jim will begin today’s presentation by providing a general overview of the quarter’s results and our strategic capital projects. Then, Maria will provide more detail around the quarterly results and key regulatory proceedings. Following prepared remarks, we will then open the lines up for your questions. And I would like to turn the call over to Jim.
Jim Piro: Thank you, Bill. Good morning and thank you for joining us. Welcome to Portland General Electric’s 2011 second quarter earnings call. We delivered strong operations during the second quarter. With a continued increase in energy received from hydro resources, combined with low cost purchase power, we were able to effectively manage our power supply and economic we displayed a significant amount of our thermal generation. I’m proud of the excellent work accomplished during the scheduled maintenance outages at two of our thermal plants. Our T&D system performed well and we continue to maintain high levels of customer satisfactions. In addition to strong operations, I’m very pleased with the significant progress we have made on regulatory and legal matters. We have achieved a positive resolution concerning Senate Bill 408. We made major progress towards implementing our Boardman 2020 plan. And finally, I’m pleased with the progress that PGE, the Sierra Club and other environmental groups have made towards resolving a lawsuit related to Boardman filed in 2008. The positive outcomes on these matters reflect a constructive process between PGE, customer groups, key stakeholders and other utilities and the results will create value for our customers and shareholders. For the second quarter 2011, PGE’s net income was $22 million or $0.29 per diluted share compared to $24 million or $0.32 per diluted share for the second quarter 2010. We are reaffirming our full-year 2011 earnings guidance of $1.90 to $2.05 per diluted share. Now I will provide you an update on the economic outlook in our operating area. We continue to experience customer growth with the addition of 3,000 new customers since the second quarter of 2010. Oregon’s seasonally adjusted unemployment rates continue to decline and for June, it was 9.4% for the state and 8.8% for the Portland metro area. This compares to the U.S. average of 9.2%. Oregon’s economic recovery continues as Oregon’s payroll grew 2.7% annualized in the last six months versus 1.2% for the U.S. Total retail energy deliveries on a weather adjusted basis increased approximately 2% compared to the second quarter 2010. While we experienced increases in deliveries across all customers segments, increase in load was driven primarily by the industrial sector. We project that weather adjusted retail energy deliveries for 2011 will be approximately 1.8% above 2010 levels, including the anticipated effects of energy efficiency measures. However, when you exclude the load growth of two large industrial customers in the paper sector, weather adjusted retail energy deliveries for 2011 will be approximately 1% above 2010. It’s important to keep in mind that a few of our large customers are able to access the wholesale energy markets directly through PGE. So their production levels can vary widely based up on their market opportunities. Now an update on our strategic initiatives starting with the operational excellence. We continue to deliver excellent operating performance company wise. On distribution reliability metrics remain strong and generation plant availability was high. We successfully performed extensive work at our Boardman and Coyote Springs thermal plant during their scheduled maintenance outages. We continue to make progress on the Boardman 2020 plan to address new regional haze requirement. We replaced the plant’s burners, which are expected to reduce nitrogen oxide emissions by more than 50%. In addition, we installed emission controls that are expected to remove 90% of the plant’s mercury emissions. To date, PGE’s portion of the capital spend on the Boardman emissions controls project is approximately $17 million. The total cost of all of the emission controls is estimated approximately $60 million, excluding AFDCs. At the Coyote Springs plant, we upgraded the gas turbine, increasing the plant’s output by 12.1% and improved efficiency by 3.7%. I’m extremely pleased with the results of both of these projects, which are on time and on budget. We continue to maintain high levels of customer satisfaction. Based on second quarter results, we ranked in the top decile for residential customers and the top quartile for general business and large industrial customers. Recently, J.D. Powers rank PGE third in the nation for overall satisfaction in their 2011 electric utility residential customer satisfaction study. Our leadership team continues to put a special emphasis on operational improvements and sustainable cost efficiencies for the long term. We are meeting early milestones on a number of initiatives already underway. These targeted projects are focused on streamlining operations by leveraging technology and improving work processes in order to increase the value of the service we provide to our customers while reducing our costs. Now, I’ll move on to the progress we are making in executing our integrated resource plan, action plan and our future investment opportunities. Our IRP action plan, which was acknowledged by the OPUC last November includes energy efficiency measures as well as the addition of new renewable resources and gas-fired generation and transmission projects to meet our future retail load requirements. To achieve a generation portion in the plan, we will conduct three separate competitive bidding processes to acquire new resources. The first bidding process is the Capacity RFP, which has three components. First, approximately 200 megawatts of flexible year-round peaking supply. Second, approximately 200 megawatts of winter and summer peaking supply. And third, approximately 150 megawatts of winter-only peaking supply. We plan to bring these resources online in the 2013 to 2015 timeframe. The next startup peak seeks approximately 120 average megawatts of renewal resources to meet – to help meet Oregon’s renewal energy standards. We plan to bring these resources online as needed to meet Oregon’s 2015 renewal energy standard requirements of 15%. Finally the base load RFP peaks approximately 300 to 500 megawatts of base loads, high efficiency natural gas fueled generation. We plan to bring this resource online in the 2015 to 2017 timeframe. In the each of the three competitive bidding processes, we plan to include our own self build options to compete with the market bids. The process for the capacity resources will be completed in early 2012. The process for renewable and base load resources will likely be completed by late 2012 or early 2013. The IRP action plan also includes our Cascade Crossing transmission project. We have been working hard with other stakeholders in the region in planning the project. As we continue this process, we have adjusted Cascade Crossing scheduled to allow additional time for the extensive amount of work required for permitting a project of this size. Subject to obtaining all necessary approvals, the in-service timings for the project is estimated to be between late 2016 and 2017. Once we have completed the RFP processes, we will have better clarity on our future equity and debt financing needs. The amount and timing of these financings is depended on the outcome and timing of the competitive bidding processes, our Cascade Crossing transmission project, PGE’s financial performance and capital market conditions. Now I’d like to turn the call over to Maria Pope, our Chief Financial Officer, to discuss our financial and operating results in greater details.
Maria Pope: Good morning. Thank you, Jim. Today I’ll cover financial results for the quarter, review our operating performance, provide an update on key regulatory items and concludes with the liquidity and financing. Second quarter 2011 net income was $22 million or $0.29 per diluted share, compared to $24 million or $0.32 per diluted share for the second quarter of 2010. Total operating revenues for the second quarter were $411 million, a decrease of $4 from the second quarter of 2010. The decrease resulted from a $9 million decrease in wholesale sales offsets by an increase in retail and other revenues. Retail revenues were up 1% or $4 million from the second quarter of 2010. Due to a 3% increase in retail energy deliveries, which was driven by a combination of cooler and normal temperatures and decreased – increased demand from the industrial sector. And a $9 million increase in average retail prices, largely from the 3.9% increase authorized as part of the 2011 General Rate Case. These are offsets by $18 million decrease for rest of the power cost adjustment mechanism or PCAM, decoupling and SB 408 compared with a year ago. And seasonally cool weather, led to higher energy deliveries to our residential customers. We estimated that weather resulted in a positive impact of about $0.08 per share in the quarter compared to $0.03 per share in the second quarter of 2010. Whether also had an impact on purchased power and fuel expense, which decreased 9% quarter-over-quarter. PGE received an increased amount of energy from PGE owned and contracted hydro resources as River run off is currently at a 130% of normal. With abundant hydro in the Northwest, wholesale market prices are low. As such, we economically did place a significant amount of our thermal generation and increased market purchases. Excluding impacts of the peaking, hydro generation results in a positive pre-tax impact of approximately $4 million in the second quarter, compared to a negative impact of approximately $1 million in the second quarter of 2010. Wind generation specifically Biglow Canyon provided 10% of PGE’s retail load requirement compared to 6% in the second quarter of last year. This increase was primarily due to the completion of the final phase of our Biglow Canyon Wind Farm in August of 2010. Biglow was curtailed periodically in May and June due to BPA or Bonneville Power Administrations, Environmental Redispatch policy. While the curtailment resulted in lost renewable energy credits and production tax credits, the overall financial impact was not material. As Jim mentioned, in the second quarter, we successfully completed extensive scheduled maintenance at both the Boardman and Coyote plants, which resulted in increased production and distribution expense and impacted the availability of our generating plants. For the first half of 2011, availability was 88% compared to 92% in the first half of 2010. Now, I’ll update you on a few regulatory items, starting with our power cost adjustment mechanism or PCAM. For 2011, the PCAM’s deadband range is from 15 million below to 30 million above the baseline for net variable power costs. With strong hydro condition and low cost purchase power, actual net variable power costs were approximately $29 million below the baseline for the first six months of 2011. This compares to being 9 million below the baseline for the first six months of 2010. Net variable power cost for the full-year currently estimated to be below the baseline as well as lower deadband threshold. With PGE expected to exceed its regulated earnings test of 11% return on equity, we have recorded a refund to customers of approximately $12 million year-to-date comprised of $4 million in the first quarter and $8 million in the second quarter. Under the PCAM, as we’ve exceeded the dead band range and are up 11% return on equity on a regulated basis, we share power cost improvements with customers. In the second quarter and through the end of the year, 90% of additional power cost benefits were refunded back to customers. Decoupling is working as we expected. With residential use up in the second quarter, we have recorded a $1 million refund compared to a $3 million collection in the second quarter of 2010. Now we’ll move on to SB 408 or this complex tax loss. On previous calls, we spent a lot of time discussing the complexity of these losses and informed you that we would work hard to resolve the volatile and unpredictable impact with those customers, prices and earnings. After extensive collaboration with customer groups and other Northwest Utilities, I’m pleased to inform you that SB 408 was officially repealed by the Senate Bill 967 in May. This positive outcome would not have been possible without the leadership of both the Utility Commission and the legislature. SB 967 appeals the problematic annual true up. The analysis of taxes will remain a component while conducting general rate case proceedings. For both 2010 and 2011, PGE has de minimus amounts recorded related to SB 408, and there were no adjustments due to the repeal. Now a regulatory update on Boardman. Recently, the OPUC approved a regularly filing for the recovery of increased depreciation expense and decommissioning cost, reflecting the change in the retirement date of the Boardman plan to 2020. This resulted in an increase in customer prices of approximately 1% effective July 1st. Now on to financing and liquidity. We are active in the wholesale marketplace entering into forward contracts for natural gas and power to manage our exposure to commodity risk and minimize volatility for our customers. As of June 30th, we posted approximately $174 million in collaterals with wholesale counterparties, which consisted a $68 million in cash and $106 million in letters of credit. This compares to $263 million in collateral posted with wholesale counterparties at year-end. We have credits of $600 million in revolving lines of which $474 million was available at June 30. Including the addition of $72 million in cash, our total liquidity at the end of second quarter was $546 million. Well we target a capital structure of 50% debt and 50% equity. Periodically, we are higher or lower. On June 30, our equity ratio was 48%. For 2011, we estimate capital expenditures of preliminary engineering to be approximately $330 million. For 2012, we are currently forecasting in the 10-Q, $270 million of capital expenditures and based on the approval of projects, excluding the outcome of the RFP that Jim discussed, were likely to expand approximately 300 million next year. In closing, we continue to focus on financial objectives that support our core utility business, earning and more competitive return on equity and a strong balance sheet to support our investment grade credit ratings. Jim?
Jim Piro: Thank you, Maria. Second quarter 2011 performance reflects our focus on operational excellence, including the strong power supply operation, successful execution of extensive upgrades at two of our thermal plants, customer satisfaction, and prudent management of our operating costs. We are moving forward with implementation of our Boardman 2020 plan as well as our IRP action plans. And we will continue to position the company for our future investment opportunities that deliver value to our customers and a comparative return for our shareholders. Operator, we would now like to open the call for questions.
Operator: Thank you, sir. (Operator Instructions). And we’ll take the first question from Neil Mehta from Goldman Sachs.
Neil Mehta – Goldman Sachs: Good morning.
Jim Piro: Good morning, Neil.
Neil Mehta – Goldman Sachs: Jim, Maria, just want to start off on the rate case timing. When do you expect to file your next rate case?
Jim Piro: Neil that we continue to look at our year, I think right now our plan would be not to file our rate case to probably for the 2014 test year. So we’d probably file in early 2013. That’s just based on our base – our current projections assuming you know load continues to grow in the region that we don’t see a backslide in the economy.
Neil Mehta – Goldman Sachs: Got it. So Jim in the absence of rate increases, how do you grow earnings in 2012 and 2013?
Jim Piro: Well in terms of our earnings, that’s really depended on a number of factors. First, it’s load growth in the region. Secondly, our investment in rate base and those will continue as we get clarity on our renewable or in our RFP processes. So you know, we will continue to look for investment opportunities to grow our earnings and that’s really the model to do that. Maria, do you want to add anything to that?
Maria Pope: Sure, as we look carefully the next couple of years, the backdrop I think that we were pleased with our 2011 rate case and the recoveries that we achieved through that. And then in the Oregon, as Jim talked about in his prepared remarks, we are seeing load growth. And in particular, the Intel expansions as well as suppliers to Intel are growing very rapidly. We’re seeing construction growth actually in the trade’s area up about 6.8% versus a year ago. So we have good confidence in our ability to be able to continue to grow earnings to investor or our customers over the next couple of years and prudently manage our rates as we then add capital projects with the renewable and capacity projects probably first and then base load energy after that should we win the RFPs. And if that would probably trigger be more of a catalyst for our next rate case than concerns over earnings.
Neil Mehta – Goldman Sachs: Got it, Maria. And do you think you can keep O&M below the demand growth?
Maria Pope: You know, if you look at our track record over the last couple of years, particularly on the A&G side, we’ve really done a good job of managing our O&M. And the increase that you see in our production area most recently is a result of the maintenance outages, that Jim spoke about it, both the Coyote and the Boardman facilities, which were well reflected in customer prices and then also an outage that took place at the Colstrip plants. So we have good confidence. We’re doing a number of things to be more cost effective than efficient throughout the company and leverage our investments in IT technology for the benefit of customers.
Neil Mehta – Goldman Sachs: All right. And then my last question is how should we think about the second half of 2011? What are the key drivers positives and negatives to get to your guidance?
Jim Piro: Well a couple of things in that. First of all, we need to continue to see – the economy continue to grow and it’s a not a back step in that and all indications are that that looks like it’s going to occur. Secondly, our power plants need to continue to operate well. We’re now kind of get and see into the high growth season in the end of the run off, so now it’s really a matter of our power plants continue to operate well and third, hopefully, no storms or major incidences on the T&D side.
Neil Mehta – Goldman Sachs: Got it. Thank you very much.
Operator: We’ll take the next question from Sarah Akers from Wells Fargo.
Sarah Akers – Wells Fargo: Hey, good morning.
Jim Piro: Good morning, Sarah.
Sarah Akers – Wells Fargo: Can you remind us, which customer class is the decoupling mechanism applied still?
Jim Piro: It applies to our residential and very small commercial customers.
Sarah Akers – Wells Fargo: Okay.
Jim Piro: And it’s based on use for customer calculation and then for that the small commercial, it’s based on loss revenue calculation about 60% of our customers qualify under the decoupling mechanism.
Sarah Akers – Wells Fargo: Okay. So if it’s the – just per use for customer yield still benefit from customer growth that will flow through?
Jim Piro: Yeah. We still benefit for customer growth and the use for customers on weather adjusted basis. So we have – we just – the actual usage for weather and then now, we compare that to the last rate case and that’s the majority of where the decoupling goes through.
Sarah Akers – Wells Fargo: Right.
Jim Piro: And do you think, the thing that effects that the most is energy efficiency. So certain customers put more energy efficiency measures in our – maybe take greater conservation measures that’s what they use for customer would go down and to the extent they include new appliances and new uses – use for customer would go up. That is the decoupling normalizes for us.
Sarah Akers – Wells Fargo: Great and then I just want to make sure, if I heard this correctly in terms of when we will get clarity on equity and financing needs? You will probably wait until all three RFPs wrapped up, before you have a good sense of timing of equity and things of that nature, is that correct?
Jim Piro: I don’t take all three. But at least, we need to get the first one done on the capacity and if we’re successful there. Then we will have to look at equity need that where the markets are. That’s not a big project for the company, but I will take one at a time probably and then look at each and how best to finance them, as we set ourselves for the next RFP process.
Sarah Akers – Wells Fargo: Great, thanks a lot.
Operator: Next – pardon me. The next question comes from Andrew Wiesel from Macquarie Capital.
Andrew Wiesel – Macquarie Capital: Hi, good morning. On the three RFPs, can you remind us the timing of when you expect to file the RFPs and how the decisions be finalized?
Jim Piro: Okay. On the first RFP, the capacity of RFP that is right now before the commission for a decision. We had to briefing I think last week and we’re now trying to resolve a few issues that were raised in that open proceedings before the commission. Once the commission issued the decision, we would immediately start the RFP for capacity and we would like to complete that by end of this year that’s our hope. But it really depends on the commission’s decision in terms of when that whole process starts. But that would be first decision and again, we would like to get that done by the end of 2012, early 2013. To the extent, we’re the successful winner of the bid. We will start construction immediately and it probably takes us about two years to construct that project. The other two bidding, bids will start later this year or early next year depending on when we can line up our choices for competitive bidding or self-build options. We likely will complete those by late 2012 or early 2013. Though we’re in the process of just getting one done at a time, we want to try and do this in a good sequence, so we don’t want to overburden our staff work to through the process and so that’s our current plan at this point.
Andrew Wiesel – Macquarie Capital: All right, great. And then on this 10 year local economies doing fairly well relative to the country at least, should there be a meaningful slowdown, how much of risk of this RFP process could be pushed back, any kind of meaningful amount of time?
Jim Piro: Well. As you know, we are a short utility. We didn’t – don’t have enough generation to meet our retail load and we have a significant capacity deficit as well as an energy deficit and we really need to address that. So this isn’t necessary to meet additional low growth, but this is to fill the hole that we currently have as hydro contracts go away and we’ve been relying on the market and the markets starting to get not as robust as it used to be. So the economy has a minimal impact on these decisions because of the significant deficit we have on both the capacity side as well as the energy side.
Andrew Wiesel – Macquarie Capital: Terrific. Thank you very much.
Operator: We’ll go next to Mike (inaudible) from D. A. Davidson.
Unidentified Analyst: Hi good morning, guys. I wanted to come back to the earlier question on your O&M. Maria; you said that a large chuck of the increase in this quarter was tied to the plant maintenance outages. Is that correct?
Maria Pope: Yes.
Unidentified Analyst: All right. Does it reflect the full affect that – of the maintenance outages or would that be stretching into the future quarters as well?
Maria Pope: No, it reflects full amount. And in the first quarter, we had about $42 million of production O&M and in the second quarter, it was about $55 million. So you can see the increase. Last year, we were at about $46 million during the same period when we had less maintenance at the facilities. So we expect to go more into a steady state non-maintenance further expense period.
Unidentified Analyst: Okay. And can you remind us if you have other maintenance outages coming up in the next 18 months or so?
Maria Pope: Well, we have the next – in the next 18 months we do because we will probably take maintenance outages next spring, also related to the facilities, but not as extensive as the significant upgrades that we made at both Boardman and in particular, Coyote this past spring.
Jim Piro: A couple of things just to – a couple things to note on that. These maintenance outages were consistent with what we planned in the rate case. And so we did forecast that cost for these maintenance outages in the rate case. Second thing as we look at maintenance outages in 2012, those get reflected in our – let’s call it our AUT filing. And so the extend of shorter or longer, those get back into our power cost as we plan for next June.
Unidentified Analyst: All right. Thank you.
Jim Piro: Thanks, Mike.
Operator: We’ll move next to Steven Gambuzza from Longbow Capital.
Steven Gambuzza – Longbow Capital: Good morning.
Maria Pope: Good morning, Steve.
Jim Piro: Good morning, Steve.
Steven Gambuzza – Longbow Capital: Hi, can you hear me?
Jim Piro: Yep.
Steven Gambuzza – Longbow Capital: Okay. Sorry, I’m sorry if you’ve answered this already, I just wanted to ask about the $8 million approval for the peaking, did you mentioned earlier?
Maria Pope: Sure, yeah. So, let me...
Steven Gambuzza – Longbow Capital: Just, was that related to your – you took an accrual for what the expected impact of power cost is going to be for the second half of the year?
Maria Pope: It was $12 million total for the second half of the year, and $8 million for the second quarter. As we look at the power cost were very significant in the first quarter, and we kept most of that in terms of the P&L. When he hit over the debt band of $15 million and then the ROE at 11%, we then began a 90/10 sharing with customers. And so in the first quarter, we expected that our refund would be for that about $4 million and then $8 million in the second quarter for a year-to-date total of $12.
Steven Gambuzza – Longbow Capital: Okay, I’m sorry. Is that for you – in the second quarter you booked $4 million – sorry $8 million related to the second quarter, and then an additional $4 million for you anticipate will be the refund for the rest of the year?
Maria Pope: Yes, exactly, no, excuse me, no; it’s the $4 million in the first quarter, $8 million in the second quarter and $12 million year-to-date.
Steven Gambuzza – Longbow Capital: Okay, so you booked – okay, you haven’t booked anything in anticipation of what you think is going to happen in the second half?
Maria Pope: No, we don’t do that. What we do is we do look at the full year expectation around earnings and make an adjustment with regards to what we expect to refund based on that 11% ROE.
Steven Gambuzza – Longbow Capital: Okay, thank you very much.
Maria Pope: Yeah.
Steven Gambuzza – Longbow Capital: Just one final question. You mentioned that the RFP for the peaker is before the commission, you hope to have it by the end of the year and then a two year construction period, so that would – that would be in service near the end of ‘13. Is – would you expect that would be the first resources that would be bought in the rate base? Or is it possible that one of the renewable RFPs should come in before that?
Jim Piro: I think right now our current view is the capacity resources would be the first one to come in. The extended renewable through a bidding process was available, didn’t have to be constructed and then we would put it in place through the renewable energy adjustment clause and we track that in separately. That’s the nice thing about the renewable. They can be tracked in separately, but then year – they come into service. So a lot of that will depend on what we get out of the renewable RFP, whether it’s just construction or its maybe a project that’s bid in that’s already constructed.
Steven Gambuzza – Longbow Capital: Okay. Thanks very much.
Operator: (Operator Instructions).
Jim Piro: Okay and I think that’s it. Well thank you very much for participating in the call. In closing, we continue to focus on our financial objectives that support our core utility business, earning a more competitive return on equity and a strong balance sheet to support our investment grade credit ratings. Thanks so much for participation on the call. And we look forward to our future call in the third quarter. Thanks a lot
Operator: That does conclude today’s presentation. Thank you for your participation.